Operator: Good morning and welcome to the Erie Indemnity Company’s First Quarter 2014 Earnings Conference Call. I’d like to introduce you host for today’s call, Scott Beilharz, Vice President of Investor Relations. Please go ahead.
Scott Beilharz: Thank you Scott, and good morning, everyone. For the Erie Insurance Group, 2013 was a year of significant milestones. We reached $5 billion in premium last year while recording our fifth consecutive year of market share growth in every state in our footprint. We delivered solid underwriting profitability and received additional third party recognition for our commitment for serving our customers. We also announced our plans to expand the business into Kentucky, which will become the 12th state in our footprint. I’m pleased to report that we continue to build on that positive momentum in the first quarter of 2014. Highlights of our strong financial performance in the quarter include net income per share for Indemnity of $0.88 compared to $0.69 in the first quarter last year, reflecting strong top line growth and positive year-over-year investment results. Direct written premium of $1.3 billion in the first quarter, an increase of 7.8% over last year. Our results were driven by both increases in policies in force and average premium per policy along with our strong retention rate of 90.6%. We were on track to outpace Koning’s 2014 industry growth projections of 4.2%. During the first quarter, we continue to build on our operational effectiveness. Our DSpro Web system is now being used in three out of four private passenger auto and home applications. This technology platform for our personal lines products is a key growth enabler and provides our agents a seamless, convenient way to meet their customers’ needs. DSpro Web is an example of the investment we make to maintain strong relationships with our agents. By providing our agents with a well rounded product offering backed by superb customer service, we continue to strengthen our relationship with our agents and their relationship with their customers, a necessity in our highly competitive industry. Regarding customer service J.D. Power has once again recognized Erie Insurance. Last month, we learned that Erie earned second place in the J.D. Power property claim study, which measures customer satisfaction across the property claims experience. Erie continued to be a high satisfaction carrier due to our prompt initial service contact, high caliber talent, timely payment of claims, and meeting our customers’ needs related to financial recovery and restoration. This is a testament to the skills and effort of our agents and our claims employees, who are truly committed to being above all in service. Additionally, just last week, Erie earned first place in J.D. Power’s 2014 insurance shopping study for highest in customer satisfaction with the auto insurance purchase experience. This marks the fifth time Erie has earned the award since the annual study began in 2007. This award recognized the success of our agents and Erie employees in meeting high customer expectations, when it comes to the auto shopping experience and overall customer satisfaction. I’d like to take this time to thank our employees and agents for their tireless efforts. They make Erie the special company it is. We were off to a good start in 2014, and we’re excited about the opportunities for strengthening our brand and delivering the service for which Erie is known. Marcia will now provide you with more details into our first quarter financial performance.
Terrence W. Cavanaugh: Thank you, Scott, and good morning, everyone. For the Erie Insurance Group, 2013 was a year of significant milestones. We reached $5 billion in premium last year, while recording our fifth consecutive year of market share growth in every state in our footprint. We delivered solid underwriting profitability and received additional third party recognition for our commitment for serving our customers. We also announced our plans to expand the business into Kentucky, which will become the 12th state in our footprint. I’m pleased to report that we continue to build on that positive momentum in the first quarter of 2014. Highlights of our strong financial performance in the quarter include net income per share for Indemnity of $0.88 compared to $0.69 in the first quarter last year, reflecting strong top line growth and positive year-over-year investment results. Direct written premium of $1.3 billion in the first quarter, an increase of 7.8% over last year. Our results were driven by both increases in policies in force and average premium per policy along with our strong retention rate of 90.6%. We were on track to outpace Koning’s 2014 industry growth projections of 4.2%. During the first quarter, we continue to build on our operational effectiveness. Our DSpro Web system is now being used in three out of four private passenger auto and home applications. This technology platform for our personal lines products is a key growth enabler and provides our agents a seamless, convenient way to meet their customers’ needs. DSpro Web is an example of the investment we make to maintain strong relationships with our agents, with a well rounded product offering backed by superb customer service, we continue to strengthen our relationship with our agents and their relationship with their customers, a necessity in our highly competitive industry. Regarding customer service J.D. Power has once again recognized Erie Insurance. Last month, we learned that Erie earned second place in the J.D. Power property claim study which measures customer satisfaction across the property claims experience. Erie continued to be a high satisfaction carrier due to our prompt initial service contact, high caliber talent, timely payment of claims, and meeting our customers’ needs related to financial recovery and restoration. This is a testament to the skills and effort of our agents and our claims employees, who are truly committed to being above all in service. Additionally, just last week, Erie earned first place in J.D. Power’s 2014 insurance shopping study for highest in customer satisfaction with the auto insurance purchase experience. This marks the fifth time Erie has earned the award since the annual study began in 2007. This award recognized the success of our agents and Erie employees in meeting high customer expectations, when it comes to the auto shopping experience and overall customer satisfaction. I’d like to take this time to thank our employees and agents for their tireless efforts. They make Erie the special company it is. We were off to a good start in 2014, and we’re excited about the opportunities for strengthening our brand and delivering the service for which Erie is known. Marcia will now provide you with more details into our first quarter financial performance.
Marcia A. Dall: Thank you, Terry, and good morning, everyone. As Terry mentioned, our first quarter results continue to build upon 2013’s success. Net income was $0.88 per share in the current quarter compared to $0.69 share per share in the prior year quarter. This growth was driven by our increased revenue from management operations, lower expense growth and increased equity in earnings of limited partnerships. In our management operations, income before taxes was $58 million, up $9 million over the prior year quarter. Our revenue growth outpaced our growth and expenses increasing our gross margin from 16.1% to 17.9%. Revenue from our management operations grew by $23 million to $326 million. This represents a 7.5% increase over the prior year period and is consistent with the 7.8% increase in direct written premium of the Property and Casualty Group. With the help of our independent agents and strong policy holder retention, we were able to build upon our policy and premium for policy growth from a year ago. In the first quarter of 2014, we delivered policy growth of 4.7% and a 4.2% increase in premium per policy. This performance reflects meaningful growth in both our personal and commercial product line. Cost of management operations grew $14 million or 5.2% to $268 million. Commission expense grew $10 million or 6% primarily from the increase in direct written premium. This increase was partially offset by a slight decrease in other agent compensation primarily due to a decrease in the projected profitability bonus component. This was a result of factoring in the underwriting results of the Property and Casualty Group for the current quarter. Non-commission expenses increased $4 million or 3.6% over the prior year quarter. This is primarily due to higher personnel costs and policy processing expenses related to business volume growth, partially offset by a decrease in the pension expense. Indemnity’s income from investment operations was up $4 million in the first quarter of 2014 primarily from an increase in Indemnity’s equity and earnings of limited partnerships. As you know, we have a disciplined capital allocation process. We balance our need to invest in the company’s long term growth and our ability to return cash to investors through attractive dividends and accretive stock repurchases. Dividends paid to shareholders totaled $30 million for the first three months of 2014. In addition, Indemnity repurchased approximately 145,000 shares of our outstanding Class A common stock at a total cost of $10.2 million during the first quarter. As of April 18, 2014, we have approximately $22 million remaining in our repurchase program. Now, I’ll turn the call back over to Terry.
Terrence W. Cavanaugh: Thank you, Marcia. We recently held our annual shareholder meeting here at our corporate headquarters in Erie. At the meeting, all 12 members of our Board of Directors were reelected to serve another year. I’d like to express my sincere gratitude to our Directors for their guidance and steadfast commitment to our success. I’d also like to thank our investors for their continued trust and support. Trust is critically important to everything we do at Erie, which is why we are pleased to be included in the Forbes’ 2014 list of America’s 50 Most Trustworthy Financial Companies. And even more impressively, if any first among mid cap organizations. I’ll now turn the call back over to the operator, to open the line for your questions.
Operator: Thank you. [Operator Instructions]
Terrence W. Cavanaugh: All right. If there are no questions, I’d just like to thank everyone for their time and interest and participating in this call this morning. As I’ve said in the beginning of this call, we’re off to a good start in 2014 and believe we’re in a strong financial and operational position to build upon the momentum we created in 2013 despite what I might call some uncertain economic time. We remained focused on creating value for our shareholders through our continued execution of our long term strategy, of delivering a compelling product line with the best service in the industry. Again, thank you all for participating this morning.
Scott Beilharz: Thanks, Terry. Thanks, again for joining us. A recording of this call will be posted on our website, erieinsurance.com after 12:30 PM Eastern Time today. If you have any questions, please call me at area code 814-870-7312. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program and you may all disconnect. Everyone, have a great day.